Operator: Greetings, and welcome to the Pebblebrook Hotel Trust's Fourth Quarter and Full Year 2020 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to your host, Mr. Raymond Martz, Chief Financial Officer for Pebblebrook Hotel Trust. Thank you. You may begin.
Raymond Martz: Thank you, Melissa, and good morning, everyone. Welcome to our fourth quarter 2020 earnings call and webcast. Joining me today is Jon Bortz, our Chairman and Chief Executive Officer. But before we start this morning, we wanted to acknowledge how sad we were to here of the passing of Arne Sorenson last week. He was an industry leader, a true titan, but more importantly, a great person with high integrity, who we all respected. His passion for hospitality, for his associates and guests were inspiring to all of us. Our thoughts go out to Arne's family and our operating partners at Marriott. The hotel industry lost an icon, and he will be missed. Okay. So a quick reminder today that many of our comments today are considered forward-looking statements under federal securities laws. These statements are subject to numerous risks and uncertainties as described in our 10-K for 2020, which we filed last night. Our other SEC filings and future results could differ materially from those implied by our comments. Forward-looking statements that we make today are effective only as of today, February 24, 2021, and we undertake no duty to update them later. Our SEC reports and our earnings release contain reconciliations of the non-GAAP financial measures we use which are available on our website at pebblebrookhotels.com. While 2020 was an unprecedented challenging year for the hotel industry and for Pebblebrook, we took many decisive actions to mitigate the pandemic's impact on our shareholders and stakeholders. These steps will allow us to rebound along with the recovery and take advantage of the significant opportunities we expect will develop in the months and years to come. In mid-March, our decision to immediately suspend operations at most of our hotels when the pandemic first hit, allowed us to reduce our cash burn and preserve precious liquidity when it was unclear how long this pandemic would last. This also facilitated protection and safety of our hotel level employees and guests. At the corporate level, we slashed expenses across the board, including reductions in salary for all Pebblebrook employees, including Jon, who voluntarily gave up the salary from April through the end of the year. We all eliminated our common dividend, preserving another $150 million of liquidity and reduced our capital expenditures by $50 million. We also completed approximately $400 million of property sales at healthy valuations in this difficult environment, including $331 million pre pandemic. And we raised $763 million of capital through convertible notes, a first of its kind ever for lodging REITs. Which increased our liquidity by over $300 million, while also paying down $377 million of near-term debt maturities. Our lender group also strongly supported us along the way, agreeing to waive our financial covenants during the pandemic, while also extending out $264 million of debt maturities for late 2022. These collective actions have positioned us in a stronger position today versus when the pandemic started. Today, we have approximately $770 million of liquidity with no loans maturing until 2022. We reduced our monthly cash burn from a range of $25 million to $30 million in May to roughly $20 million during the fourth quarter. We expect this monthly cash burn to continue to decline in the second quarter as we enter spring, and travel and hotel demand recover. This, of course, assumes a continuing progress on vaccinations and further reductions in cases and hospitalizations. We now have 38 hotels opened, which is down 1 property from our peak in late November, but up 1 in the last 2 weeks, and we expect to reopen additional hotels starting in March as demand continues to recover. By the end of the second quarter, we would expect to have the vast majority of our portfolio substantially open, if not all of it. Of course, this depends on the progress in vaccinations and COVID cases in cities reducing travel restrictions. But we are all encouraged with the directional trends on the horizon, which are all pointing up. Turning briefly to our fourth quarter results. Same-property total revenue of $74 million were 79.1% below the prior year period, with hotel level expenses of $93.9 million which were reduced by 62.7% from the prior year fourth quarter and 70.5% before fixed expenses like property taxes and insurance. Our total property level expense reduction was 79% of the revenue decline and 89% before fixed expenses. This highlights the tireless effort of our operating and asset management teams to reduce expenses significantly given the unprecedented operating environment. Our hotel teams were aggressive and creative in shrinking operating expenses at both the suspended hotels and the open hotels. On a same-property RevPAR basis versus the comparable period in 2019, October was down 78%, and both November and December were down 80%. Preliminary same-property RevPAR results from January were down 83%, primarily due to increased government restrictions in our urban markets, and we expect February to be less bad in the first quarter to be down 80% to 81% for the first quarter in '19 to slightly worse than the fourth quarter. Total property generated $31.7 million of revenue in October with 37 hotels opened $23.6 million in November with 39 hotels opened and $18.8 million in December with 37 hotels open. Preliminary results in January show a total of $19.4 million in revenues, also with 37 hotels open, and February looks to be up meaningfully from January due to a solid Presence Day weekend and acceleration in demand that we've seen as a result of progress on the health side and loosening of restrictions that have begun to occur in pretty much all cities and states. For the fourth quarter, same-property hotel EBITDA was negative $19.9 million compared with a positive $101.4 million from the prior year period. However, it marks a significant improvement from the second quarter of 2020 when EBITDA was negative $40.8 million while about in line to the third quarter 2020, when it was negative $19.3 million. By a month, same-property hotel EBITDA was negative $2.8 million in October, negative $8.2 million in November and negative $9 million in December. We estimate January same-property hotel EBITDA to be negative $11.4 million, while February should improve $2 million or more compared with January. Our resorts have been the consistent bright spot in the portfolio whether summer, fall or winter, they generated a positive $7.3 million of hotel EBITDA in the quarter. This resulted from an occupancy of 40% and at an average daily rate of $302, which is more than $38 and a 14.8% increase over the prior year period. Results were negatively impacted by the tightening of travel restrictions in California impacting 4 of our resorts in November and December. As a reminder, leisure transient portfolio-wide has historically accounted for about 40% of our demand with corporate transient at 35% and group at 25%. Our adjusted EBITDA was negative $27.4 million in the fourth quarter compared with a positive $100.1 million in the prior year period. Adjusted FFO per share declined to a negative $0.50 per share compared to a positive $0.54 per share in the prior year period. Shifting to our capital improvements. During 2020, we invested $125 million into our portfolio, completing major renovations on a number of our hotels and resorts. 2021, we anticipate investing $70 million to $75 million in the portfolio, which Jon will speak about later. Shifting to upcoming asset dispositions. On February 3, we announced that we executed a contract to sell the Sir Francis Drake Hotel in San Francisco. We expect this sale to generate approximately $157.6 million of proceeds when it closes in the second quarter. We decided to sell this hotel because we have sold a significant number of assets outside of San Francisco and this allows us to reduce our otherwise increased concentration in this market, while we can reallocate the capital elsewhere upcoming opportunities and absorb the sizable taxable gain that Drake sale is generating with operating losses in 2020 and 2021. As a reminder, when we acquired this hotel in June 2010 for $90 million, it was our second telework investment, and we bought it at a 3 cap. This hotel has been very successful for us, a great investment for us. And assuming the sale closes early in the next quarter, you'll have delivered a 12% unlevered IRR in our almost 11-year ownership period. We expect the sale to generate a $60 million to $65 million taxable gain, which will be absorbed by operating losses to the extent we decide not to utilize the 1031 exchange for the proceeds into a new investment later this year. Turning to our balance sheet and liquidity. We've been very active. We successfully completed a $500 million 6-year convertible notes offering with a 1.75% coupon in mid-December. These notes begin to convert to common equity at $25.47 per share, which is up 35% from the common share price at the time. We also purchased a cost spread up 75% and to $33.02 per share to offset dilution from the expected future notes conversion. In early February, with our notes trading at a premium, we decided to reopen the offering and raised an additional $263.8 million proceeds on the same terms as our initial offering in December, but we sold a note that a 5.5% premium to face value. Proceeds from these offerings, we used to pay off $377 million of near-term debt maturities while also increasing our liquidity by $310 million. The combined economic interest rate on the $750 million convertible notes is just under 2.9%. We view this as very favorable pricing with fewer restrictions and other capital alternatives in the market. The notes are unsecured, and there are no covenants. Yes, we fully expect our common shares to trade above the $25.47 conversion price leading up to the conversion date in just under 6 years, which will allow us to settle these notes when payable with equity rather than cash. So effectively, we view this as a forward equity raise at a significant premium to our current share price with dilution protection up to $33.02. And last week, we also announced that we finalized our amendment to our debt agreements with our lending partners. We extended our financial covenant waiver period out to 2022 with soften covenants into 2023. We also gained increased flexibility to make up to $500 million of new acquisitions and reinvest up to $500 million into new acquisitions from the sales of current assets, including the Drake, the previously sold Union Station Nashville and the monetize leases. We also negotiated the ability to retain a larger portion of any new debt, equity or preferred equity raises, which would further strengthen our liquidity. As part of this extension, 2 of our banks agreed to extend their November 2021 debt maturities of $21 million to November 2022, which allows us to preserve this liquidity until next year. We now have no meaningful debt maturities until late 2022. So overall, we're very proud of the execution of our entire team and very appreciative of the collaboration and support of our hotel operating partners and our banks. And with that, I would now like to turn the call over to Jon. Jon?
Jon Bortz: Thanks, Ray. So I thought I'd focus on what we're currently seeing in our business and how we think this year and 2022 are likely to play out now that it seems we have perhaps a more predictable path. So it's a path with quite a bit of uncertainty. None of us has ever been through a pandemic, so experience aside, the big variables are, of course, the progress we make against the virus and how governments, individuals and businesses behave as the health issues received. Certainly very encouraged by the reduction in daily cases, hospitalizations and deaths, which are likely a result of the success of mitigation efforts across the country, the increasing pace of vaccinations, and the significant number of people who have already had the virus, presumably generating a level of immunity. Like last year, this year's recovery starts with the leisure traveler. Which is the primary demand segment currently traveling and the segment that is likely to increase as the year progresses, as people get vaccinated, as government restrictions ease, and as more and more people feel safe and comfortable traveling. In fact, we've already been seeing the leisure recovery pick up since the beginning of the year when it was at its low point. Not only has occupancy been picking up in February, but overall bookings have consistently increased each week so far this year.  For us, demand has consistently increased in all of our markets as government restrictions have begun to ease and more individuals feel safe and comfortable traveling. For example, revenue per day in February is averaging about 55% higher than in -- I'm sorry, revenue per day in February is averaging about 55% higher than in January. Based upon our estimate for the month, given what we've already achieved so far.  While the nominal numbers are still very low, the improvement in transient demand and occupancy are noticeable. Overall, our total transient bookings have increased week over week, just about every week this year. We're also encouraged that we're starting to see forward transient bookings pick up as well. As the leisure customer starts to book vacations and leisure trips further out than they've been doing so far during the pandemic. For example, our 2 resorts in Key West and our luxury resort in Naples have seen such strong bookings in the last month or so, that all 3 are now ahead in transient bookings for the rest of the year, and 2 of them are now ahead for the entire year. As restrictions in other parts of the country recede, assuming progress against the virus continues, we would expect our other markets and properties to see similar activity and improvement with leisure travel recovering and so much pent-up demand from leisure customers. This will particularly be the case at our 4 West Coast drive to resorts in California, our resort in the Pacific Northwest and our West Coast cities that attract significant leisure travel, especially San Diego and Los Angeles. We also believe, as we enter the spring and the weather warms, our leisure focused properties in the rest of our cities, including Seattle, Portland, San Francisco, Boston, Philadelphia and Chicago, will experience significant demand from leisure travelers as they've already begun to do. When we think about the rest of the year, we expect a leisure customer to remain domestic, and many of them will remain local or regional. We expect rooms at our resorts to be in short supply during prime vacation season, with rates in general above 2019 rates. Our California resorts achieved higher transient rates last summer versus 2019, and our Florida properties are all running ahead of 2019 transient rates with LaPlaya and Naples, as an example, achieving average transient rates $100 to $200 higher than in 2019. Some of the significant improvement at LaPlaya represents the benefits from the dramatic renovation we did at the property a couple of years ago. But some of it is due to the pricing power of high-quality resort properties. Average rates are also benefiting from leisure customers purchasing or buying up to suites and higher-priced view rooms more often than in the past. Many of our leisure focused urban hotels are benefiting from this trend as well. During September and October, we saw the beginnings of a modest recovery in business travel. However, with the rise in the virus' spread, increased government restrictions and the arrival of winter transient business travel slowed. We've seen a little bit of business travel in a few areas: TV and movie production in L.A., consultants and IT-related project travelers in various markets, including Boston and some health care and government travel as well, but it all remains very modest. We don't expect to see any significant pickup in business transient travel until the second half of the year. We think it will be led by travel from small and medium-sized businesses, especially private businesses. We believe major corporate demand will be the last of business transient to pick up, and we believe it will be heavily influenced by the virus first but then dependent upon when those corporations return to the office. We have hosted some group at our properties, but it's primarily related to social events like weddings, sports teams, and media-related to sporting events and government. In the fourth quarter, group accounted for 4% of our total room revenues. This 4% does not include the university student business at both the W Boston and Westin Copley. Bookings and rebookings of weddings into the second half of 2021 and 2022 have been very strong, and we're seeing rebookings of group into the second half of 2021 and all of 2022 as well. We're very encouraged about how well group is shaping up for 2022 at this point. So yes, we've begun to look at our group pace again. While 2022 pace is significantly behind same time last year for 2021, in fact, it's down 21% in room nights. Activity has begun to pick up as meeting planners become more confident there's more clarity and optimism on success against the virus and a lot of business from 2020 and 2021 is being rebooked into 2022. Equally encouraging is that rate is holding as well. Our group rate for 2022 is currently ahead by 1.4% versus pre pandemic same time last year for 2021. And for 2022, it's ahead by over 5% versus same time 2018 for 2019, which was our last normal pre pandemic year. When we look at 2021, we're definitely much more cautious about group and trying to forecast when businesses will move forward and meet in-person again. Our group pace for the second half of 2021 and is down around 32%, with ADR slightly positive, which, of course, is very encouraging. Group rates have generally held up or been rolled forward from previous bookings. And some have even increased if they've been moved from a seasonally lower-rated time of year to a seasonally stronger time of year. We certainly hope group will begin to pick up as the year moves along, and progress continues against the virus. However, we're concerned that businesses will be more cautious about meeting this year, particularly in the third quarter or before Labor Day.  And we continue to expect that most major citywides and large groups scheduled for this year will either be canceled or postponed as we move closer to the book to meeting dates. And if they are held, they'll arrive with substantially lower attendance. If, of course, we make more rapid and exhaustive progress against the virus, this sentiment could change rapidly and we believe that's why many groups are waiting until closer to their dates before making their decisions. Strategically, we'll be pursuing leisure very aggressively for this year with the idea that leisure travel is likely to be very strong later this year, and much of this group that's on the books will probably not materialize. And if it does materialize, we'll be in a great position to take advantage of it. In addition, we've been bringing sales resources back this year at our properties as leads and bookings have begun to pick up so we can take advantage of the upcoming recovery in group business whenever it begins. We're focused strategically on 2022, being a very strong recovery year overall. And for group being strong as well due to what we believe is a great deal of pent-up demand and also all of the meetings being rebooked from 2020 and 2021. This means we do not expect significant rate discounting in 2022. Again, this is with the obvious caveat that we get to relatively normal behavior by the end of this year, and it remains relatively normal next year. We believe we're in a great position to take advantage of this recovery in 2022. Our hotels and resorts are in great condition. We've completed major renovations and transformations at well more than half of our properties over just the last few years, 28 of our properties, in fact, and they have significant share to continue to be gained as the recovery takes hold, and we compete against many properties that will have been and will continue to be started of capital. In 2020 alone, we completed redevelopments and major renovations at Westin Gaslamp Quarter, San Diego; Embassy Suites San Diego Downtown, San Diego Mission Bay Resort and its conversion from a Hilton, LaPark Suite hotel in West Hollywood, Viceroy Santa Monica, Chaminade Resort in Santa Cruz, Marker Key West Harbor Resort, Viceroy, Washington, D.C. and its conversion from Kimpton, Mason & Rook and Hotel Zena, Washington, D.C. an Unofficial Z Collection hotel and its conversion from Kimpton Donovan Hotel. We also completed a number of additional upgrades in the portfolio in 2020, including a brand-new at Westin Copley, renovated public areas, meeting space and corridors at the Liberty, a luxury collection hotel in Boston. All new bathrooms, including tub to shower conversions at Hyatt Boston Harbor and a completely new lobby and bar at Harbor Court in San Francisco. We're also redeveloping L'Auberge resort in Del Mar, California as we speak. It's our highest ADR property in the portfolio. And it achieved a $403 average rate in 2019. The redevelopment focus for L'Auberge is to dramatically improve and expand the revenue-generating public areas, meeting and event areas and restaurant and bar activities at the resort. Not only do we expect to achieve a significant increase in ADR but we expect to dramatically increase the other revenues at the property as meetings, events and gatherings return. All of the improvements should be completed next quarter. This resort is a true icon in Del Mar as it sits in the center of this high-end beach town and has done so for 3 decades now. We're also moving forward with a complete renovation of all of the Southernmost resorts rooms, including guest room bathrooms. This very special and popular resort is made up of numerous different buildings with different sized rooms renovated at different times with different designs over the years. The most recent room renovations were completed 10 to 12 years ago. So we're forecasting a $20 to $30 improvement in rate at this 262 room resort. That is our third highest ADR property at over $377 the last 2 years. This rate improvement should deliver a 10% or greater cash yield at stabilization on our $15 million investment. The construction work will start in July during the seasonally slow summer, and it's forecasted to be completed in the fourth quarter before prime season begins. Additional upgrades in our portfolio that we've been moving forward with include upgrades to the lobby, rooms and rooftop pool at both Montrose and Chamberlain in West Hollywood, which are both all suite hotels. A renovation of and a transformation of grafted on sunset in West Hollywood. Which we're going to rebrand as an Unofficial Z Collection hotel upon completion late this year or early next year. Also a complete redevelopment of the golf course and backyard at Skamania Lodge, in the Columbia River Gorge, which will add a spectacular 9 hole short course and an 18 hole putting course to our ZIP lines, aerial venture park and ax throwing venues as we continue the transformation of this conference resort to an experiential adventure resort. And finally, we'll be adding a second and larger pool bar and other amenities and activities at Chaminade Resort as soon as we receive approvals from the county, as we transform this resort into an attractive luxury leisure destination just 45 minutes from Silicon Valley. As it relates to the remaining projects we defer due to the pandemic, we're continuing to complete plans and permitting, and we'll pull the trigger on these projects when we have more clarity on the recovery and progress against the virus. All of these completed redevelopments and transformations and all of the upcoming projects and improvements will provide significant upside for our portfolio over the next few years as the recovery takes hold and rolls forward. And importantly, the vast majority of the dollars for these projects have already been invested. As a result of all of these projects and the fantastic condition of our overall portfolio, we would expect our hotels to outperform their specific markets. Similar to what they did over the years, we were building Pebblebrook in the last cycle's recovery. As we look at the silver lining of potential upside from this crisis, we expect there will be significant opportunities over the next few years to acquire properties in distress due to a large number of cash strapped and over-levered owners, and many properties that will go back to lenders. As you know, our team has been through 2 prior crisis driven opportunistic periods, including 1 that resulted in the creation of Pebblebrook in late 2009 during the tail end of the Great Recession. Following that crisis, we were able, with our conviction to fairly quickly and aggressively assemble a unique portfolio of high-quality hotels and resorts at very attractive prices that also had substantial upside opportunities. Given our ability to operate our properties more efficiently than the vast majority of buyers, the additional cost benefits from the additional economies of scale from Curator, our unique strength in redevelopments and transformations as well as with independent or small brand lifestyle hotels, our vast number of operator relationships and our high-profile and positive reputation in the industry, we believe we'll have significant competitive advantages as opportunities arise over the next few years. We continue to be confident that our team's experience, reputation, foresight, creativity, work ethic and track record combined with our strong corporate liquidity and a fantastic portfolio, will allow us to not only grind through the current challenges but thrive during the recovery in this next up cycle. And with that, we'd now like to move on to your questions. So Melissa, you may proceed with the Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Rich Hightower with Evercore ISI.
Rich Hightower: So a couple of questions. Jon, I wanted to get your opinion on San Francisco, kind of where we sit today and even going forward. And just maybe the longer-term outlook given heightened political risk in that market and kind of looking from other sort of real estate lenses, what seems to be a pretty steady stream of corporate relocations away from the Bay Area. Just what -- how do we measure the sort of moving parts there?
Jon Bortz: Yes. So I think it's a fundamental analysis. And I think we start with the key advantages that San Francisco has that aren't going to go away. The proximity to Asia, the political -- the gateway -- international gateway aspect of the city, the incredible strength of the underlying economy with its incredible cluster of companies that are focused on the high-growth industries in our country, the creative industries that are impacting all of our businesses in the country. I think the weather is beneficial to San Francisco, the attractive nature of the city is very attractive. And the venture capital that continues to be heavy influence on the growth, the creation and growth of new businesses in San Francisco. I think what we were seeing pre pandemic and what we continue to see is an evolution in our country that involves creative industries and venture capital expanding beyond the core creative markets like San Francisco and Boston into other markets. And we've expected that to happen. The pandemic probably accelerate some of that. But our view on San Francisco continues to be positive. I mean the educational institutions are not going to go away. The venture capital is not going to go away. I think the city probably because there are plenty of angry companies that would like a more business-friendly government. Are more than apt to announce when they expand beyond San Francisco. But most cases, doesn't mean they're abandoning the market. In most cases, frankly, it's an expansion. And what you don't read about is the huge growth of companies that get created in San Francisco. I mean, we obviously are aware of it. There continues to be huge growth by a lot of the big players like Google and Facebook and Apple in the market as an example. But there's also a huge increase in the creation of new businesses that grow. So I think we're still strong believers in the market. Supply is extremely difficult to add in the city. We'll see some reduction in supply, and we have already through the sale of some hotels that will be used for affordable housing. We expect to see some more of that in the marketplace. And yet, it's probably the most protected city in the United States from new supply growth. So overall, we still have a very positive view on San Francisco. As noted by our comments about the sale of the Drake, we'd like to come down to the level that we were at before. We sold all of these properties outside of San Francisco in terms of our concentration. And we'll continue to work with others, with government and other businesses with government and the community on trying to help the city solve its issues. But San Francisco, of course, is not alone in its issues related to homelessness and crime and other issues of that vernacular. So whether it's San Francisco, the quirkiness of Portland and the issues there, Seattle, Downtown LA, Downtown San Diego, Austin, New York. I mean, you can go through a long list of cities that have issues. And San Francisco is definitely towards the top of that list.
Rich Hightower: Okay. Appreciate all the color there, Jon. One more, if I may. Just in terms of the balance sheet, given the success of the convertibles, issuances last quarter and I guess, earlier this year. And some of the added flexibility in the credit facility. I mean how big of a priority today versus, say, 90 days ago would be sourcing I guess, alternate equity capital, joint venture capital or something along those lines. So how important is that where we sit today?
Jon Bortz: Yes. I don't think it's really changed where we are with sourcing alternative capital to take advantage of some of the opportunities in this recovery. I do think there's no change in our view of sourcing equity at these value levels. And of course, the convertible bonds are a low-cost way to have raised equity for the company with its conversion down the road over the next 6 years. So I think as we look at how we take advantage of the opportunities, there'll be initially 2 different ways. One is from the sale of the Drake and Union Station Nashville and the monetization of the and any other potential sales over the course of this year. We'll certainly be reallocating that capital into opportunities that we think will be highly attractive in this next recovery cycle. But right now, we do continue to pursue an off-balance sheet strategy, again, early -- for the early part of the cycle with third-party equity capital that can dramatically multiply the capital we'll be investing.
Operator: Our next question comes from the line of Smedes Rose with Citi.
Smedes Rose: I just wanted to follow-up on that a little bit the covenants that you just ended gave you some incremental flexibility there. So do the sales of the Drake proceeds go into the $500 million that you're allowed to sort of put towards recycled capital? And is that is that earmarked for anything beyond, I guess, just sort of debt reduction?
Raymond Martz: Yes. So Smedes. Yes, any proceeds from the Drake and sales we've had in this summer, so Union Station in Nashville as well as the antenna leases. So all that capital goes into that kind of $500 million kind of reinvestment basket that if we choose and find opportunities to invest, we can do so freely within our balance sheet.
Jon Bortz: Yes. So those dollars are not marked for debt. They're not marked for debt reduction.
Smedes Rose: Okay. Okay. And then, Jon, you mentioned in your comments about supply coming out of San Francisco and you also hovering your K that you guys expect the pace of supply to decline. Besides San Francisco, where -- what other markets will you operate would you expect to see sort of a net reduction?
Jon Bortz: Well, we expect to see a net reduction in New York and in Chicago. And we've seen a small reduction in San Diego already as well. And a minor reduction out in the West side in LA. I think that's probably the primary markets where we expect reductions.
Raymond Martz: And Smedes, just 1 clarification. So there's $200 million, $500 million buckets. One relates to reuse of sale proceeds and the other are additional investments. So we have the ability to do both of those.
Jon Bortz: And we have a third basket, which is $100 million of other investments. So plenty of access, which the read-through of that is the banks have -- it's only been very supportive and it's 1 very accommodative and flexible as they look through to the ending of this pandemic, which is a very encouraging sign.
Operator: Our next question comes from the line of Shaun Kelley with Bank of America.
Shaun Kelley: I just wanted to get your thoughts on how we should kind of think about flow-throughs from revenue improvement on the way back out of the cycle. I think all reminded that, Jon, in some of your comments specifically about rate that this recovery is shaping up a little differently than what we've seen in the past. And I just wanted to kind of get your thoughts on this. I mean, historically, we've seen that until occupancy probably gets up towards 70%, we don't tend to see like the big acceleration in flow-throughs because, obviously, it needs to be more rate driven. But I curious, do you think that, that equation will be different? And then more importantly, how do you think about that equation for Pebblebrook, given some of the cost measures that you've taken?
Jon Bortz: Yes. Thanks, Shaun. So I do think it's going to be materially different this time from a recovery standpoint. One, as you highlight, we don't think there's going to be much rate discounting. Certainly, what we've seen on corporate accounts is the vast majority of those have rolled over from '19 to '20 without changes, '20 to '21, and we expect '21 to '22 to be a similar situation. And as you heard from my comments on rate on our group pace, and I think you've probably heard something similar from others. We're not seeing discounting at all on group in the future. If you're -- if you come by with a big group today at a city property, you can negotiate a good deal. There's tons of capacity. But we're not seeing much of that business. But I think on flow throughs, as we look at the recovery, we're building back our teams very slowly. And so we think because of the way we've changed how we do business, the things that we no longer are purchasing, and we don't think we will be buying, the use of technology, the cross-training that the flow-throughs are going to be pretty good in this recovery. And so again, in that regard, I think it will be more attractive and likely much quicker than prior cycles.
Shaun Kelley: And then you kind of alluded to this just a moment ago, but the other question I had was on citywides versus in house group. So I think you said overall for Pebblebrook, roughly 20% of the portfolio is, I guess, probably more appropriately was group so as that bounces back, how much for Pebblebrook of that '20 is citywide compression, obviously, San Francisco is probably a key market for that versus what you're able to kind of deliver in-house? Because I'm thinking that probably the in-house stuff, and I think we talked yesterday a little bit about weddings, the wedding business being really attractive, for instance, the in-house stuff may bounce back, the citywide compression may be a little bit further delayed just given, again, might be very different city-by-city.
Jon Bortz: Yes. I mean, I think if there's any pricing pressure, it will be in some of the higher-priced conventions in some of the markets. Depending upon the approach they take and how much sympathy they have for an industry that's been devastated in this pandemic. I think in our portfolio, we don't -- I don't have numbers off hand. We don't track it that closely between citywide convention business and other group. But it wouldn't surprise me if it was 1/3 in total. Keep in mind, our resorts generally don't have any citywide business. So all the group they do, 100% of it is going to be -- is going to be in-house group. And a lot of our small -- a lot of our small properties that don't have much meeting space. They're either doing group that doesn't need meeting space or they're doing citywide business. So -- or it's group in a major house, somewhere else in the city. So it's probably a greater percentage in the smaller properties. And it's 0 in the big property. So it's probably about 1/3, Shaun, but give or take, 5% or 10%, frankly.
Operator: Our next question comes from the line of Michael Bellisario with Baird.
Michael Bellisario: Two questions for me. First, just on your underlying assumptions for your hotel level breakeven expectation for the midpoint of the year. Can you just give us some high-level thoughts on what you're assuming to get there?
Jon Bortz: Yes. So if we go back to the fall and we look at where we were, our open hotels in October, as an example, generated a couple of million dollar positive EBITDA at a 38% occupancy and rate that was down about 30% from '19. So we think -- and RevPAR was down 69%. So we think breakeven for the portfolio, probably around the 35% occupancy level at similar impacted ADR, which would relate to about a 70%, maybe 73% range for RevPAR declines from 2019. We want to keep using '19 as the base because that's the last normal year '20 isn't really going to give us a much from a comparative perspective. So we think it's in that range for the hotel portfolio. And for corporately, we think it's in the 50% to 53% and down range in terms of RevPAR to get to breakeven on a corporate basis. So that probably will mean something between 50% and 55% occupancy across the portfolio.
Raymond Martz: And Mike, as you think about the timing on that, we think the hotel breakeven is really as we get to midyear. So as we get to late second quarter into the third, so summertime as the demand improves. So that -- given the trends right now, that's what we would generally expect. And then corporately, that's really the second half of the year, the back half as we end the third quarter as we continue to build. That will be the timing. I know some of the folks have early spring things improving, but we think it's more of a midyear for hotel breakeven and then as we get in the second half for the corporate side.
Jon Bortz: And to be clear, Mike, that's just our base case viewpoint, assuming things continue to get better from a health perspective because the business is going to follow the virus. And if the virus, if we get a resurgence of any kind, if we get big bumps along the way, I mean, we've seen this 3 times already, where the virus has had a resurgence, and we've had to lower our viewpoint for the coming months. So it comes with that humongous qualification.
Michael Bellisario: Understood. And then second question for me, more on the topic of NAV kind of a conceptual perspective here. Can you maybe give us a sense of how you're thinking about and what you've heard from people that you're talking to on the asset sale front? Just discounts to pre-COVID pricing and maybe break that up into put Maples and maybe your San Diego resorts in 1 bucket and then Chicago and Boston and the other? And then secondarily, the path that you're thinking about or the trajectory to get back to what you think or maybe what others think is a stabilized value?
Jon Bortz: Yes. Well, that's a that's a short question that would otherwise come with a really long answer, but I'll try to shorten it. I mean, we start with -- we don't know. There's not enough activity yet in the markets to know what the market is for any specific type of asset. I think the higher quality assets, I mean, if you had a resort out there, it could trade for no discount. Pre-pandemic to 10%, I don't know. I mean I think our properties in Naples and the Keys would probably be towards the given the progress they continue to make and the capital that's been invested in those assets that didn't achieve all of the improvement based upon the capital. I think as you move away from quality, and you move away from the most attractive institutional markets, you're going to see lower discounts. I mean, you're going to see higher discounts. And clearly, one of the challenges is that there's a limited amount of pretty expensive debt out there in the market, and that's impacting -- that's going to impact values as well. And we think there'll be a dislocation in the credit markets for some time given the CMBS market doesn't work very well for properties that have no EBITDA or little EBITDA. So it's going to take time. Obviously, values will get back to where we were before operating results do because people buy based upon the future. And we'll be at the beginning of a cycle. And as you've seen historically, certainly, values are higher and cap rates would typically be lower in the early part of the cycle.
Operator: Our next question comes from the line of Bill Crow with Raymond James.
Bill Crow: Jon, on Hyatt's recent call, they spent a decent amount of time talking about the future of groups and talking about hybrid meetings. And I'm just curious if the concept of hybrid meetings might permanently reduce the number of compression nights that we see.
Jon Bortz: Bill? Are you still there?
Bill Crow: Yes.
Jon Bortz: Okay. So -- sorry, it sounded like you faded off there. So I think for -- interestingly, I think hybrid meetings will dramatically increase revenue for the folks who are offering the meetings. And I think they'll change the nature of meetings in terms of the panels, the speeches, the product introductions in ways probably we can't even imagine right now. But I don't really think it reduces the level of participants. Because as folks who've already done hybrid meetings have found it doesn't work very well for those who are not in attendance. Now there may be some folks who companies might say, well, you're not going to go, you can get whatever value you get out of that convention by doing it on a virtual basis. But look, we all know that there's so much that goes on at a conference that has nothing to do with the agenda. And we take younger people and lower position people to conferences because it's a way for them to grow personally, to learn more about the business, to develop relationships. That they wouldn't otherwise develop and that they can't develop on a virtual basis. So I don't really think it will have an impact in total on attendance and compression for our industry. And in fact, we think group meetings are likely to be increased after the pandemic on a more permanent basis as workforces are more distributed and have a need to get together more often which they won't be doing in the office. And if we do go down a path where folks shrink the amount of office space they have, again, it likely means they're going to have a need for more meetings to build culture, to train, to plan that they won't otherwise be able to do in their own offices.
Bill Crow: Yes. Okay. Jon, you've had some pretty high popping ADR numbers last summer, this summer or this winter, et cetera, as have others. And I'm just thinking as demand mix broadens should we expect ADR numbers to actually go down sequentially?
Jon Bortz: Yes. They -- Bill, they might go down some at certain properties, and they may go up at other -- they will go up at other properties. I mean it's really going to depend upon what's been lost and what returns. The resort markets might see some reduction as some of the lower-rated business comes back. I don't think it will be initially because I think the leisure demand, particularly high end is going to be pretty overwhelming for the next 12 to 18 months. But I think in the urban markets, what was lost was all of the higher-rated business. And so as some of that business begins to come back in the second half of the year and into next year, I think we regained ADR in those city markets. And maybe we give up some in the resort markets, but I'm not so sure that's next year.
Operator: Our next question comes from the line of Anthony Powell with Barclays.
Anthony Powell: Just want to dig into 2022 a bit more. You mentioned a few times that you don't expect discounting, particularly in group in 2022. How should we think about group volumes in 2022? I mean you have pent-up demand and more people booking into 2022, but they also have maybe more hybrid meanings, maybe some hesitate for some city wide. So could volumes in '22 be similar to '18 or '19? Or is that too much to ask for the industry?
Jon Bortz: I think it's possible, Anthony. I think there's a lot of pent-up demand. So I think when you think about businesses, in terms of folks we talk to, they have a desperate need to get their groups together. They haven't been together for 1 year now, haven't seen people, in many cases, for a year, haven't met new employees in their organization. So while I think there'll be conventions and large meetings that may have lower attendance because of the hybrid nature initially, I think they'll be replaced likely by other meetings from all this pent-up demand and business that will have rebooked from 2020 to 2021. So I think we're pretty positive, Anthony, about the way 2022 could play out. And as I indicated earlier, I think it could be a pretty dramatically quick recovery depending upon if we get back to normal. And that's really -- again, that's a monster qualification because none of us know. But if that's the case, and folks are behaving normally and businesses are behaving normally, it's not as if businesses are suffering overall. I mean, the economy is strong. The leisure customer has a humongous amount of money in the bank. There's huge fiscal stimulus in the system and more coming, the Fed has been pumping capital into the market. So business earnings are really strong.  For all the industries that have actually benefited or not been impacted, right? It's really a few industries that have been impacted. And unfortunately, we're 1 of them. But I think when you think about a typical recovery and businesses taking years to rebuild the earnings that were lost in the downturn as demand comes back gradually. We don't have that in the economy now. We have a lot of really strong companies from an earnings perspective.
Anthony Powell: Got it. I guess on that point, do you think, I guess, improved group mix and strong leisure can, at least in 2022, offset any theoretical structural decline in business transient travel for that year?
Jon Bortz: Yes. I think it certainly -- can, I think leisure travel will be much stronger than probably normal in 2022. Again, with that same monstrous caveat about health. But we also aren't believers in any structural impact to business travel. So we think travel is going to follow GDP and where it may be lost in 1 area will get picked up in other areas that, again, either come out of this pandemic in terms of change of behavior. It's easy to see changes in what we know. It's always harder to understand the positive things that we haven't experienced before. So we're a believer that, in general, business travel is going to continue to follow GDP and that there isn't any kind of structural impact or secular impact.
Anthony Powell: Right. So it's safe to say, you seem like you're more bullish than the I guess the consensus that will get back to prior peak RevPAR in 2024, roughly, you seem to be more positive than that. Is that a fair takeaway?
Jon Bortz: I think there's a healthy possibility that we could get back quicker. Yes.
Operator: Our next question comes from the line of Aryeh Klein with BMO Capital Markets.
Aryeh Klein: Maybe just on the margin side, given all the things you've done on the cost side, upon a return to a normalized environment, how are you thinking about the margins longer-term relative to where they were pre pandemic?
Jon Bortz: Yes. So I think the way we've been evaluating it, Aryeh, there's probably somewhere between 100 and 200 basis points of benefit. All else equal. If we were back in 2019 and operating our hotels, the way we're operating them now and the way we anticipate operating them in the future. But we do have to keep in mind there's other variables that will impact first time. Some costs just will go up in time on a per unit basis and offset some of that perhaps. But we're pretty optimistic as this happened in every cycle, we've achieved savings on an operating basis, greater efficiencies, pretty much every year. Every year, our properties are operated with fewer people per dollar of revenue than the year before. So we think that will continue. We think it's a healthy level of improvement. And that should help in terms of recovery of values quickly as well.
Aryeh Klein: And maybe as a follow-up, you have a lot of hotels in San Francisco, so maybe this isn't quite as impactful, but what would be the impact from the higher minimum wage on expenses for you?
Jon Bortz: It's pretty small. I mean, we have $15 minimum wage in a lot of our locations already. And where we don't, most of the cities are well above that. I mean, our -- I'll give you an example. I think our Housekeepers make $26 to $26 an hour plus in San Francisco as an example. So I don't -- I think that where we've had the biggest impact as states or cities have implemented it. Is if they implement it without a tip credit or a lower minimum wage for tipped employees. That's -- there's a little more impact in those areas. It could be it could be $100,000, $200,000 of property on average, if that were to happen in markets where we haven't already experienced that.
Raymond Martz: Yes. And are the legislation lease right now from buying that does not have a tip credit. Unfortunately, of course, a lot could happen between now and then. And then the other side, it's -- the urban areas were largely well above the minimum wage. So really no impact there. Some of the resorts would have some impact in places like Florida in which means some properties with the servers. And then it clearly impacts markets like Texas in those lower cost areas. So it is a -- we've seen that, but we'll do our best to.
Jon Bortz: I think it's a way bigger impact if it were to pass. The way they're suggesting without a regional -- without regional rates at different levels. It would have a much bigger impact on secondary markets, tertiary markets than it would on our portfolio.
Aryeh Klein: Got it. And just a quick one on re-openings. If you can just update us on the pace there for the remaining close lines.
Jon Bortz: By the way, and in response to your -- the question on minimum wage, I mean, we have historically been able to replace that cost with revenues through guest amenity fees through add on charges at our restaurants and our food and beverage. So historically, we've been able to recoup it from the customer. Sorry. What was the second question there, Aryeh?
Aryeh Klein: Just on the pace of reopenings, if you can update us there?
Jon Bortz: Yes. So as we said in our comments, I mean, we currently have, what, 15 hotels that are currently suspended. Those will come back as the demand recovers. We have some plans in place as early as March, and we did reopen of a hotel of all places in Chicago two weeks ago. So as demand recovers, we'll be back, and I think ways as we said, we should have all of them open by midyear.
Operator: Our next question comes from the line of Gregory Miller with Truth Securities.
Gregory Miller: I wanted to ask a question on Curator. You seem to be growing the employee count fairly quickly in my view. And my ignorant take is that you're preparing for a fairly larger collection of incoming properties. And I could be very wrong about this. I appreciate you're not providing guidance at this point. But could you share any high-level thoughts about how you see Curator by, say, year-end 2021? And/or if you expect Curator revenues to be meaningful to your earnings by the end of the year?
Jon Bortz: Yes. So on the latter question, the answer is no. We don't think it will have any material impact on our earnings this year. As it relates to the high level, so we launched it publicly in November, the week after the election. The response has been huge in the hotel community from interested parties. And we had developed a long list of outreach for once we launched, and we've yet to get to that list because we've been working with the folks who've contacted us following the launch. And so I mean, you'll see Curator will have a fairly active press release program with announcements of additional founding members, additional member hotels, additional vendor partners and preferred vendors over the course of the entire year.  And so I'd say watch for that activity. We are -- we do continue to add people to the staff in order to provide a high level of service to expand the program offerings and to accommodate more member hotels. So you're correct from monitoring LinkedIn that we've been adding team members. We have more to do, and we have a lot of work to do to prove out the value proposition for our members, but we feel really positive about not only the response, but we feel really positive about the value proposition because we've lived it. And the Curator benefits and savings will be much broader and more extensive than what we were able to achieve with our 31 property portfolio previously.
Raymond Martz: And also, Greg, just to be clear, I think I saw your note last night, we didn't add 6 or 7 new employees to Curator. Some of that was current employees that we reallocated to focus on Curator, so a couple of individuals, we're focused on our portfolio-wide initiatives, which has been very successful and really allowed us to really launch Curator. So we allocated them full-time the Curator, and we brought in 3 individuals, professionals to their new employees, and we're looking for a couple more. But just to be clear, we are watching that, and we had some capacity there from some of the sales we had in reallocating 1 of the women who are running it Jim Barnwell. She was an asset manager, and she's leading Curator. So that was just a reallocation of people internally.
Gregory Miller: Yes. I appreciate that, and apologies for the confusion there, Ray. I want to switch gears on my second question, and I enjoy hearing your crystal balls on how you see trends in the industry. And I'm curious to get your perspective on what may be a growing number of affluent people that may end up working remotely full-time after the pandemic is over? And that people who may lack a full-time residence. As you know, there are emerging and VC funded companies that are targeting this demand I might assume that you have a few hotels that would naturally cater to higher-rated extended stay and may not be core to your business. But I'm curious if you think this customer base may be material? And if so, how you might target the segment?
Jon Bortz: Yes. I mean, I don't know whether it's going to be material. It doesn't mean it's not a demand source, obviously, but I don't know that for some period of time. I mean if it grows to be material, obviously, we can develop of product and services that are geared towards the group. But I think what it does do is it's going to increase travel back to the corporate office and increase the demand for rooms in markets where those individuals need to travel to because they're not in the home market, right? You have a meeting in the home market with your superiors or with a group that you collaborate with, you're not going to book a hotel room because you already live there. But if you live somewhere else, when you go back there, which you'll presumably need to do you're going to need a hotel room. And I think that bodes well for folks who choose to move further away from their offices because they're only working in their offices, 1 or 2 or 3 days a week. If it's 2 or 3, there's a reasonable chance that they'll book a room 1 night a week or 2 nights a week. So that they don't do a 3-hour commute each way because they move further away. So it kind of goes back to my comments earlier, Greg, and what you raised, certainly as a potential demand source down the road. But I think the bigger demand source is going to be people who aren't in the office all the time, who maybe move further away that now need to go back to the office and book hotel rooms while they're doing it.
Operator: Our next question comes from the line of Floris Van Dicam with Compass Point.
Floris Van Dicam: Jon, I just wanted to get your thoughts on the current environment for specs and your -- and the potential for Pebblebrook to potentially raise is Obviously, SPG did 1 recently. could be an option for you to JV capital, but it could also potentially do things for your Z collection or for Curator. Are these things that you look at actively? And how interesting is that for you as you think about allocating capital and access to capital?
Jon Bortz: Yes. So we've looked at they're hard to do in a format where you're trying to accumulate a portfolio versus the need really to buy a company. And so I'm not sure it really works for where we see the opportunity on the property side. And I think as it relates to Z collection or curator, I think that spec could be an exit at some point down the road, but it seems a little premature today.
Operator: Ladies and gentlemen, that concludes our question-and-answer session. I'll now turn the floor back to Mr. Bortz for any final comments.
Jon Bortz: Thanks, Melissa. Thanks, everybody, for participating. I appreciate you hanging in there for the length of Q&A. And we look forward to things continuing to improve. We'll continue our interim updates of the performance of our properties and which should make our -- again, our earnings releases for the next quarter, a fairly meaningless, given we will have provided all of the information on a monthly basis. But we do look forward to updating you and talking about the trends next quarter.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.